Operator: Good morning and welcome to CIT's Third Quarter 2016 Earnings Conference Call. My name is Keith and I will be your operator today. At this time all participants are in listen-only mode. There will be a question-and-answer session later in the call. As a reminder, this conference call is being recorded. I would now like to turn the call over to Ms. Barbara Callahan, Head of Investor Relations. Please proceed, ma'am.
Barbara A. Callahan: Great. Thank you Keith. Good morning and welcome to CIT's third quarter 2016 earnings conference call. Our call today will be hosted by Ellen Alemany, Chairwoman and CEO, and Carol Hayles, our CFO. After Ellen and Carol's prepared remarks, we will have a question-and-answer session. Also joining us for the Q&A discussion is our Chief Risk Officer, Rob Rowe. As a courtesy to others on the call, we ask that you limit yourself to one question and a follow-up, and then return to the call queue, if you have additional questions. We will do our best to answer as many questions as possible in the time we have this morning. Elements of this call are forward-looking in nature and may involve risks, uncertainties, and contingencies that may cause actual results to differ materially from those anticipated. Any forward-looking statements relate only to the time and date of this call. We disclaim any duty to update these statements based on new information, future events or otherwise. For information about risk factors relating to the business, please refer to our 2015 Form 10-K. Any references to non-GAAP financial measures are meant to provide meaningful insights and are reconciled with GAAP in our press release. Also as part of the call this morning, we will be referencing a presentation that is available in the Investor Relations section of our website at www.cit.com. Now, I'll turn the call over to Ellen Alemany.
Ellen Rose Alemany: Thank you, Barbara. Good morning and welcome to CIT's third quarter 2016 earnings conference call. As you know, we had a lot going on this quarter as we announced earlier this month the agreement to sell Commercial Air to Avolon for $10 billion, which has been a key priority for me, the board, and the management team. We also recently closed on the sale of the Canadian equipment and corporate finance business. In our core businesses, the third quarter results reflect stable operating trends as we continue to focus on strengthening our franchises to improve returns. Despite a challenging operating environment, our net finance margin was stable, and our credit metrics remained strong, while total financing and leasing assets declined only slightly in spite of higher prepayments and asset sales. We also made meaningful progress in our strategy to simplify the business and return capital to shareholders. and I will discuss our strategic initiatives later in this call. In our Commercial Banking segment, we continue to focus on improving risk adjusted returns. In Commercial Finance, we're finding good opportunities in the middle market lending environment that remains challenging from persistent low interest rates and low activity. Year-to-date, we funded 115 deals, leading 50% of them, in the third quarter. We led over 70% of our new deals, resulting in almost $800 million of new origination volume and higher capital market fees. And at the same time, we continue to focus on staying highly selective and disciplined with new origination activity, especially in the leveraged lending space, where pricing has continued to compress and structures have become more aggressive. We are achieving this through our strategy that builds on our specialty lending expertise across industry verticals and deepening relationships with clients and customers where we have the opportunity to provide credit, as well as other bank products and deposits. As we continue to improve the quality of our Commercial Finance portfolio, financing and leasing assets were down 4% in the quarter due to higher prepayments and asset sales. In the fourth quarter, we expect overall asset levels to be flat to down as we continue to be selective on new originations and optimize our portfolio with a focus on risk adjusted returns. In Real Estate Finance, pricing remains highly competitive. Overall, asset levels in Real Estate Finance were down this quarter, mostly resulting from prepayments and some originations expected to close in the third quarter that rolled into October. In Business Capital, we are experiencing solid growth within key strategic verticals. In Direct Capital, our FinTech business, we are working through strategies to leverage our branch network and reach more small business customers. We also continue to see opportunities in the small business lending market, resulting from challenges of other online lenders. In small ticket equipment finance, the market remains very competitive as low rates and slow economic growth persist. While industry volume metrics have declined this year, our new business volume has increased, resulting from growth in core markets as well as from new initiatives and from re-launching programs with office imaging manufacturers. In Capital Equipment Finance, our large ticket business, we have increased direct origination activity and continue to see good opportunities with industry verticals in the commercial base. And in Commercial Services, factoring volume for the quarter was seasonally strong. While volumes were relatively flat from a year ago, we see activity strengthening, driven by firming in the retail sector. We are successfully executing our new business acquisition initiatives, and we continue to develop strategies to leverage our strong customer relationships. In Consumer and Community Banking, assets were flat in the quarter and strong growth in the mortgage lending business was offset by the runoff in the legacy consumer mortgage portfolio. Our deposits went flat this quarter, reflecting balance sheet trends; however, we continue to make progress on improving the mix of deposits as part of our overall funding strategy. We believe, our broad suite of branch and online banking services and customer service experience coupled with the strong Southern California market will drive lower cost deposit growth from this segment. In our Rail business, while we have seen a few markets stabilize, the overall environment remains weak, driven by the energy and steel industries. However, our value proposition in the Rail business is that we have one of the youngest fleets in the industry which helps manage through down cycles by minimizing maintenance and out of service issues. We also service customer needs across multiple commodities and industries. CIT has been a consistent, long-term participant in the Rail business, and we have a seasoned team with strong portfolio management expertise and customer relationships. Our portfolio management actions include working with customers to structure lease terms, to keep cars on lease, as well as selling or scrapping underperforming assets. And we recently commissioned and updated independent customer survey whose results continue to highlight and support our high level of customer service, which is the clear differentiator in these markets. We continue to expect lease rates and utilization rates to decline into 2017 as a result of the weakness I mentioned, but we continue to expect to earn double digit pre-tax returns in Rail given the expertise of the team, our portfolio management practices, and our high level of customer service. Moving to our strategic initiatives, as I mentioned earlier, we recently announced the signing of a definitive agreement for the sale of our Commercial Air leasing business for $10 billion, a 6.7% premium to net assets. In conjunction with the transaction, we received regulatory approval to return up to $3.3 billion of capital to our shareholders and repay on the $6 billion of unsecured debt. We believe this will create significant value as it will strengthen our balance sheet, simplify our business, and enable us to return a significant amount of capital to our shareholders. And we expect the sale to close towards the end of the first quarter. In addition, on October 1, we closed on the sale of our Canadian Equipment and Commercial Finance business. We continue to make progress on the sale of our business there and China assets as well as the Financial Freedom business in discontinued operations. We remain disciplined in our credit risk management and continue to proactively manage our exposures. We're also putting a lot of work into our capital plan with a focus to improve our processes and prepare for our 2017 CCAR submission. Overall, our third quarter results reflect stable operating trends in our core businesses, and we made significant progress executing against our strategy. Our management team and Board of Directors remain committed to strengthening our franchises and improving our returns. The sale of Commercial Air is a significant step forward, and now with the path clearly identified, we are refining our plan in conjunction with our year-end business and capital planning process. In addition to the cost reduction initiatives, we highlighted earlier this year, we have retained the Boston Consulting Group to assist us in developing opportunities in our three lines of business that build on our expertise and differentiation and maximize shareholder value creation. With that, I will turn it over to Carol to provide more details on the quarter.
Carol Hayles: Thank you, Ellen, and good morning, everyone. Third quarter income from continuing operations was $148 million, or $0.73 per share, reflecting a combination of stable operating trends and charges related to our strategic initiative that totaled $28 million, or $0.14 per share after tax. Net income was $133 million, or $0.65 per share, which included a $16 million loss in discontinued operations. This loss was related to an impairment of the reverse mortgage servicing liability. Separately, we continue working through the remediation of the material weakness related to the interest curtailment issue in the reverse mortgage servicing business that we discussed last quarter, and there was no P&L impact this quarter. Turning to the results from continuing operations, there was a slight decrease in financing and leasing assets in the quarter driven by Commercial Banking while Transportation and Consumer and Community Banking assets were essentially unchanged. Slide three shows the key performance metrics, and provides commentary on the near-term outlook which remains relatively consistent with what we have said previously. Net finance margins remained stable at 3.63%. Commercial Banking margins declined from the prior quarter, which included a $6 million interest recovery. In Transportation, margin was down slightly as an increase in Commercial Air from lower operating lease expense largely offset the reduction in Rail from lower rental income and higher maintenance expenses. In the near-term, we expect net finance margin to trend towards 3.5% as we continue to face headwinds from lower rental revenue in Rail and runoff in the legacy consumer mortgages. The provision for credit losses increased to $46 million from last quarter's low $28 million. Overall, portfolio quality remains relatively stable, and we expect the full year 2016 provision to be in the middle of our target range of 25 basis points to 50 basis points of average earning assets. The level of net charge-offs improved to $23 million, $15 million excluding the impact of loans transferred to held-for-sale. Approximately half of the $15 million relates to energy exposures. The provision also included a $5 million reserve build for the Maritime portfolio. Including the principal loss discount on acquired loans, the allowance for loan losses in our commercial book was 193 basis points, up 10 basis points from last quarter due to modest reserve build across the portfolio. Non-accrual loans increased slightly from the second quarter to $289 million, as reductions in Energy and Business Air were more than offset by the addition of one Maritime account of approximately $50 million. Energy non-accruals now make up about one-third of the non-accrual balance, down from 50% in the second quarter. Details on our oil and gas loan exposure can be found in the Appendix on slide 16. Repayments on oil and gas loans resulted in a decrease of over $100 million from last quarter, and we now have about a 12% loss coverage against the portfolio when taking into account the purchase accounting mark and the allowance. Moving to other income on slide eight, other income of $74 million reflects gains of $10 million on mortgage-backed securities, higher capital market fees, and factoring commissions, offset by lower gains on sales in our leasing businesses, a mark-to-market charge of $20 million on the TRS and $18 million in impairments in Business Air. Turning to expenses on slide 10, excluding intangible amortization and restructuring charges, operating expenses were $323 million, essentially flat to the prior quarter, and included $20 million of costs related to our strategic initiative. The prior quarter included $12 million of elevated OREO and FDIC expenses, and the absence of these items were partially offset by higher sales tax expense as we worked through prior year audits in Commercial Banking. We're making good progress on our initiative to reduce costs by $125 million, and remain on track to take out a one-third of these costs in 2016. We expect expenses, excluding the cost of strategic initiatives, to remain around $300 million next quarter; however, we anticipate the costs associated with the strategic initiatives to be further elevated in the near-term as we prepare for the sale of Commercial Air and the submission of our 2017 capital plan. The income tax provision was $77 million, which included a $16 million valuation allowance against the DTA in China. Excluding this discrete item, the tax rate for the quarter was 27%, bringing the year-to-date effective tax rate to the low 30%s, consistent with our expectations for the full year. Turning to our business segments on slide 11, Commercial Banking reported pre-tax income of $82 million, representing a pre-tax ROA of 1.6%, reflecting more normalized credit costs and higher operating expenses. As Ellen mentioned, Commercial Finance assets decreased 4% due to prepayments and asset sales, as we continued to execute on our portfolio management strategy to improve risk adjusted returns. Portfolio yields were down 7 basis points, but were stable absent an interest recovery in the prior period. Business Capital assets increased 4%, driven primarily by higher seasonal borrowings in the factoring business and growth across all units. Real Estate Finance assets decreased 3%, given timing of new business volume and prepayments. Again, as Ellen mentioned, we have a strong pipeline going into the fourth quarter. However, we expect overall asset levels to remain relatively flat as the legacy portfolio continues to run off and prepayments remain elevated. Turning to slide 12, Transportation Finance generated pre-tax income of $157 million and a pre-tax ROA of 3%. Financing and leasing assets were relatively flat with new railcar and aircraft delivery offset by depreciation, asset sales, and run off in the Aerospace and Maritime loan portfolios. In Commercial Air, we took delivery of one aircraft from the order book and utilization was 99%, with all the two aircraft having leases or lease commitments. Portfolio yields benefited from lower operating lease and maintenance expenses. Looking ahead, nearly $1 billion of aircraft are scheduled for delivery in the next 12 months, all of which have lease commitments. The Rail portfolio grew 2% driven by new deliveries and utilization remained at 94%. We continue to see weak demand for crude, coal and steel cars and expect utilization to move toward the low 90% range in the near term with rental rates declining as leases renew. Portfolio yields decreased by almost 80 basis points, primarily driven by lower renewal rate that on average re-priced down 25%, in many cases from historical highs. The impact of re-pricing will fluctuate each quarter depending upon the number and type of cars renewing and the lease terms. Given current market conditions, we expect to see continued deterioration in portfolio yields in 2017. However, as Ellen indicated, even through the headwinds, we expect this portfolio will earn double digit pre-tax ROE. Maritime assets decreased slightly to $1.6 billion. While we have no delinquencies, we transferred one account to non-accrual and increased reserves by $5 million. The dry bulk market has improved slightly with rates exceeding operating costs, but operator cash flows remain weak. Consumer and Community Banking, as shown on slide 13, generated pre-tax income of $19 million and a pre-tax ROA of 1%. Financing and leasing assets remained flat at $7.2 billion as new volume was offset by run-off in the Legacy Consumer Mortgages. Turning to funding and capital, deposits were flat at just under $33 billion at the end of the quarter, and our weighted average coupon decreased 3 basis points to 122 basis points. We continue to build our investment portfolio with a net increase in investment securities of approximately $400 million with new investment yields around 1.8%. Our capital ratios remain strong with a common equity Tier 1 ratio of 13.7%, up 30 basis points from the prior quarter. Before we take your questions, let me take a moment to discuss the pending Commercial Air sale and some accounting items to be mindful of over the next few quarters. We will be transferring the Commercial Air business along with Business Air into discontinued operations in the fourth quarter. Transferring the business into discontinued operations will cause us to suspend the recognition of depreciation, which has been running approximately $100 million a quarter. This could affect the timing and geography of gain recognition that will not change the aggregate economics. We will incur costs as we unwind the structured financing ahead of the close. These were part of the $400 million transaction adjustments laid out at the time we announced the sale. On post close, costs related to unsecured reliability management and capital return will be recorded in continuing operation. However, the gain on sale and tax expense and transaction costs will be recorded in discontinued operations. These items will add variability and complexity to our results over the next few quarters, and we'll provide additional color as we go through the process. With that, I will turn the call back over to Keith, and we'll take your questions.
Operator: Yes. Thank you. We will now begin the question-and-answer session. [Operators Instructions] And today's first question comes from Eric Wasserstrom from Guggenheim Securities.
Eric Wasserstrom: Thanks and good morning. Two questions, please. One is a strategic question. To the extent now that you have made such excellent progress on the separation of the aircraft business, how are you thinking about the Rail business, particularly with respect to the financial implications of the deferred tax liabilities that are generated in that business?
Carol Hayles: Good morning, Eric. It's Carol. So, I think, Ellen has articulated several times in the past that we feel Rail is a good portfolio. It's got good returns. There are headwinds in the business, but we do have a great management team, and feel we're best positioned to manage this through the cycle. As we said in March, selling Rail would not actually benefit the company from a regulatory capital perspective because of the deferred tax liability that we have that is kind of supporting the deferred tax assets, which we still have post the separation of Air because of the restricted NOL. So from that perspective, if it was a part sale, obviously with the premium it would help a bit, but as a part sale, there is no real regulatory capital freed up; in actual fact it's detrimental. So for various reasons, we still think Rail is a good business for the company.
Ellen Rose Alemany: Yeah. Just a few more comments on Rail, Eric. So we do expect the environment to remain weak, and it's going to impact utilization and lease rates, particularly in the oil, coal and steel industries. A few markets have stabilized, like grain and plastics and lumber. We also have railroad velocity that's going to continue to put increased pressure on the market, but I do think that we will expect to return pre-tax double-digit returns during this cycle despite some of these headwinds, and we have managed this business, historically, through all of these cycles. And we've been excellent at working with customers to restructure and renegotiate lease terms. We've been scrapping and selling underperforming cars. As I mentioned before, we have one of the youngest fleets. Customers want new cars, and they have less maintenance and service issues. And most importantly, we have really long-term customer proposition here. We've been serving our customers for over 40 years. We have strong relationships with the railroads and the shippers. And we recently performed an independent customer survey, which just reinforced that our customer service is great, which is a very good differentiator here.
Eric Wasserstrom: Thank you for that. And just on the issue of risk adjusted margin, as I looked at the 2018 targets on page three, and I just did a quick back of the envelope, it looks like they imply a risk adjusted margin of around, call it, 3.75%ish, which is fairly similar to what you did in the third quarter. So, I guess, my question is is my math correct, or is the expectation about the emergence of those benefits more medium term?
Carol Hayles: I think in the risk adjusted margin, we have a range of 3% to 3.5%. So didn't really follow the math there. But we haven't really changed our outlook on that post the separation of Air. Maybe I didn't understand the question, Eric.
Eric Wasserstrom: Sure. Carol, maybe I'll touch base with you later.
Carol Hayles: Okay. All right.
Eric Wasserstrom: Great. Thanks very much.
Carol Hayles: Thanks.
Operator: Thank you. And the next question comes from Arren Cyganovich with D.A. Davidson.
Arren Cyganovich: Thanks. You referenced hiring a consulting firm to look at areas to improve the returns over time. Are you looking more in terms of revenue opportunities, asset growth, or is it more along the lines of further efficiency improvements, or all of the above?
Ellen Rose Alemany: Sure. It's really all of the above. I just wanted to make sure that everyone completely understands that it's our objective to improve the performance of the company, and we had told everyone that after we had clarity on the Air separation that we would really look at updating our plan. Earlier in the year, we laid out a plan, and we, as I said with now knowing which way Air is going, we're going to update our plan. And so, what we did was we hired Boston Consulting Group to really further review any opportunities to enhance our performance. We are leaving no stone unturned in the company. We are almost complete with our review. And as part of the annual planning process and strategy process, we are planning to roll this out to everyone shortly.
Arren Cyganovich: Okay, thanks. And so the targets that you have on slide three for post separation, those haven't changed from the March – are you saying that after this process that those could change? And do you still actually expect to have that 10% ROTCE in 2018, because you are obviously much more capitalized than you'd initially expected?
Ellen Rose Alemany: Yes, those targets are still what we are going after. You're right. We do have excess capital, and that is part of the equation as we go into the 2017, 2018 capital plan. But the target ranges are pretty consistent with what we've said in the past.
Arren Cyganovich: Okay. And then just very quickly, lastly. The shrinking, I guess not really shrinking, but the leveling off of the Commercial Finance business, you've been talking about, I guess, removing some risks there. What areas are you looking to reduce the cash flow loans? I'm just trying to understand, as we think about you as a bank after the Aircraft Leasing sale, and obviously most folks want to see some growth. I'm trying to understand the balance of how much you need to continue to kind of prune out of the portfolio before you get onto a growth path after that point.
Ellen Rose Alemany: So we've been taking actions in our commercial banking business to reduce exposures in some areas, particularly in the leveraged loan area, and really just focusing on growing our industry verticals. We are also culling out the portfolio and exiting very low return portfolios. Our strategy is really to build on our specialty lending expertise here, and also to take leadership roles in more transactions. So I mentioned before, year-to-date we funded 115 deals, 50% of those were lead roles. And just in quarter three alone, we did 35 deals of which 25 were lead roles. That, combined with cross-selling more deposit products, leasing products to our Commercial Finance customers. So that's really the strategy in the commercial finance business. We're also seeing very good growth in Business Capital. Direct Capital, which is our FinTech business, we've been working to lever this capability in our branch networks, so we could reach more small business customers. And we're benefiting right now from some of the challenges that the other online lenders have. In our Equipment Finance business, although leasing volumes are down in the industry, we have really good initiatives in office imaging, industrial and healthcare. And we continue to leverage our industry vertical expertise here. And then, in our factoring business, we had seasonally strong quarter, and we are seeing some firming in the retail sector. So the strategy around Commercial Banking is really shrinking, as I said, exiting a lot of – some of the leverage loans, the low performing assets, and then growing the core, which is leading with our specialty industry verticals.
Arren Cyganovich: It's very helpful. Thanks Ellen.
Operator: Thank you. And the next question comes from David Ho with Deutsche Bank.
David Ho: Good morning. As it relates to some of the recent CCAR proposals out there, how does that change your views on expenses, sizing, you mentioned some additional costs related to the CCAR submission, presumably on kind of the quality of assets. How do you think about that?
Ellen Rose Alemany: Sure. One is we – I still want to say that our strategy of the company shouldn't be driven by asset size, but our asset size -- our strategy should drive our asset size not that asset size should drive the strategy of the company. And when we laid out our plan in the beginning of the year, we did have some SIFI costs budgeted in our expenses going forward. I still want to make sure that everybody understands that even if we wanted to de-SIFI, the earliest we could de-SIFI is 2018, and also make sure everyone understands though that we still have to go through the CCAR process in 2018 just because the way the fourth quarters work. The team is focused on the CCAR process. We received our findings from the Federal Reserve Bank in August. We put together a remediation plan. We've established a dedicated CCAR office with external advisers. And we are working diligently and expect to make significant progress in this area. Now, recently the Fed came out with an NPR regarding the qualitative exam, and I think it's still too early to tell, but it looks like we'll be subject to the quantitative test at lease during this year. But we still have to remediate a lot of the – remediate the items that the Federal Reserve Bank brought up with us. We need work to do on our capital processing. We were planning to do this work anyway. So I don't think it's going to make a tremendous difference on the expense side.
Carol Hayles: Yeah. I just add, the comment I made about the near-term costs are really in preparation for our submission in 2017. It doesn't change our commitment to the reduction of the $125 million, but where we think the expense base will be in 2018. It's just about the very near term in preparing for this first quantitative submission.
David Ho: Okay, that's helpful. And then the recent retention of BCG, you obviously will be looking at capital optimization as one of the stones that they will hopefully unturn relative to your risk profile as well as some of the new developments in the business.
Carol Hayles: Well, I would say that it's our job to look at the capital levels in the company. I think BCG has focused on, more on the revenue and expense optimization.
David Ho: Okay.
Carol Hayles: We laid out a plan earlier in this year that had several components, looking at revenue, expenses, capital et cetera. And it's really the whole initiative we have against the CCAR office that's going to be the key in unlocking capital here.
David Ho: Okay, thank you.
Operator: Thank you. And the next question comes from Eric Beardsley with Goldman Sachs.
Eric Beardsley: Hi, thank you. Just wanted to touch on what the business is going to look like following the sale of aircraft leasing. I guess, if you were just to look at whether it's this quarter or your year-to-date run rate, how do we think about the aircraft leasing contribution to that, and what the pro-forma earnings power could be?
Carol Hayles: Yeah. So as we're going through this process, we haven't really come off the walk from March, but still is a pretty representative of what we think the post separation earnings would be. Air contributes 85% to 95% pre-tax a quarter. It's variable depending upon operating lease expenses and gains, impairments on the assets, that it's contribution. And as we go through the walk and everything, we haven't really identified any reason to change what we said earlier in the year.
Eric Beardsley: Got it. That's helpful. And I guess, if we look at the railcar margins here, you noted that you expect utilization rate to come down still, and still have some pressure on the lease rate. Any thoughts just on where that net finance margin could bottom out for the Rail business?
Carol Hayles: Well, in aggregate, the range that we put out, the 3% to 3.5% does incorporate some thinking around the headwinds in Rail. So in aggregate that's where we are going, haven't really gone into specifically on Rail. Other than we do expect the utilization rate to continue, and these rental renewals will be a headwind to the margin going forward.
Eric Beardsley: Got it. And then just lastly, I guess the better provision performance this year. I think you had originally guided for it to be at the high end of the range, and now you're expecting to be in the middle. I guess, what would you attribute that to, I guess, what specifically has been coming in better than your prior expectations?
Robert C. Rowe: Well, Eric, I would say it's primarily energy related that we feel that the portfolio has now stabilized, given the current market conditions. Although there could be a loan or two that would be worse than we expect, there probably would be a loan or two that would be better. And at our current level of reserves and marks, we feel very comfortable with the overall dollar reserves on that portfolio. So that's kind of putting that to the side.
Eric Beardsley: Okay. Great. Thank you.
Operator: Thank you. And that concludes our question-and-answer session. I would like to return the call to management for any closing comments.
Barbara A. Callahan: Great, thank you. And thank you everyone for joining us this morning. If you have any follow-up questions, please feel free to contact me or any member of the investor relations team. You can find our contact information along with other information on CIT in the investor relations section of our website at www.CIT.com. Thank you again for your time and have a great day.
Operator: Thank you. That concludes today's call. Thank you for participating.